Operator: Good morning and welcome to the 2022 First Quarter Earnings Conference Call hosted by BNY Mellon.  Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon’s consent. I will now hand the call over to Marius Merz, BNY Mellon Head of Investor Relations. Please go ahead, sir.
Marius Merz: Thank you, operator. Good morning, everyone and welcome to our first quarter 2022 earnings call. Today, we will reference our financial highlights presentation, which can be found on the Investor Relations page of our website at bnymellon.com. I am joined by Todd Gibbons, our Chief Executive Officer; Robin Vince, President and CEO Elect; and Emily Portney, our Chief Financial Officer. Todd will provide introductory remarks and then Emily will take you through the earnings presentation. Following their remarks, there will be a Q&A session. Before we begin, please note that our remarks include forward-looking statements and non-GAAP measures. Information about these statements and non-GAAP measures are available in the earnings press release, financial supplements and financial highlights presentation, all available on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, April 18, 2022 and will not be updated. With that, I will turn it over to Todd.
Todd Gibbons: Thank you, Marius and thank you everyone for joining us this morning. Referring to Slide 2 of our financial highlights presentation, we continue to see healthy underlying momentum across most of our businesses and reported revenue of $3.9 billion, which was roughly flat year-over-year and it was up 2% if you exclude the impact of government sanctions and the additional actions that were taken related to Russia. Now we are in an increasingly uncertain environment, including the war in Ukraine, volatile markets and persistently higher inflation, which will require more meaningful monetary policy adjustments. It is in times like these that our strong, lower risk balance sheet and the resiliency of our business model, differentiates us. In the face of the tragic events occurring in Ukraine, we ceased new banking business in Russia and suspended investment management purchases of Russian securities. Since the beginning of the war, we stepped up our humanitarian efforts as well as the support for our employees and the members of our community who have been impacted. And we continue working for our multinational clients that depend on our custody and recordkeeping services to manage their exposures. The expenses of $3 billion were up 5.5% as we continue to invest in further growth and efficiency initiatives. And we reported EPS of $0.86 and that included an $0.08 impact related to Russia. We continued to generate a significant amount of capital and returned close to 60% of earnings to our shareholders, primarily through common dividends. Throughout the quarter, we took actions in the investment securities portfolio to temper the immediate impact to capital from higher interest rates. And we expect higher rates to be both a positive for fees and net interest revenue going forward. Emily will discuss the details for the quarter shortly, but let me briefly touch on a few business highlights. In Asset Servicing, we managed to keep the strong sales momentum with which we entered the year. Wins and win rates improved off of what had been a healthy quarter a year ago. One in mandated AUCA is up meaningfully both year-over-year and quarter-over-quarter, producing a strong pipeline of AUCA to be installed in 2022 and beyond. And our retention rate was an exceptional 97%. Our ETF business continues to stand out, having increased the number of funds serviced by 4% since the beginning of the year and we were recognized as best ETF custodian at the ETF Express European Awards last month. We also continued building momentum as a leader in digital assets, having been selected by Circle as primary custodian for the USD coin reserves. And late last week, we announced an exciting data and digital collaboration with Aon. Together, we will focus on supporting the ESG needs of clients globally, leveraging our collective data and analytics capabilities and unique datasets to help clients make better, more informed investment strategy decisions by providing enhanced datasets, advanced analytics and actionable insights into ESG portfolio level exposures. In Pershing, year-over-year comparisons continue to be impacted by the previously disclosed lost business in the second half of last year. And remember, the first quarter of last year was exceptionally strong on the back of elevated transaction activity. Now, while there are puts and takes here that can impact the amount of organic growth in any given quarter, we remain extremely excited about Pershing’s prospects. Our clients are doing well and as they capture new assets, we are growing with them. And we are well positioned to benefit from a number of secular growth trends, such as the rapid growth in number of Breakaway Advisors and digitally-oriented wealth firms. Of course, consolidation in the sector can leave us on either side of any particular transaction. But over time, we find that our clients were typically the largest and most complex players in the industry are more often than not on the acquiring side. And in Pershing X, we continue to make solid progress since announcing the initiative back in October. Following on last quarter’s acquisition of Optimal Asset Management, this quarter we made several key hires, which completed the filling out of our leadership team. And we folded Albridge’s wealth reporting and data aggregation tool under the Pershing X umbrella. This alignment strengthens Pershing X’s data offering, allows it to draw on Albridge’s engineers to accelerate development of the platform, and provides clients with access to a broader suite of technology solutions. Shifting to Clearance and Collateral Management, there we delivered a strong quarter of organic growth on the back of higher securities clearance volumes and as collateral management balances remained elevated at a record $5 trillion in the quarter. Market volatility is driving dealer demand for U.S. treasuries and we are also seeing a promising pickup in new collateral balances related to our future of collateral initiatives with asset balances already being mobilized to the EMEA region and growing, providing our clients with optimization and funding benefits. Treasury Services also delivered another solid quarter of growth, driven by higher payment volumes and an improved product mix. The business continued to build on its recent track record of industry first, this quarter being the first bank to successfully connect to and send a message on the FedNow real-time payment system. And we are excited to welcome Jennifer Barker to the company as the new CEO of the business starting in May. Jennifer brings almost two decades of global client experience in the treasury service industry and she is the perfect leader to build upon the business’ recent success and innovative track record. In Investment Management, given the environment, it’s not surprising to see some challenges as clients and higher earning funds rebalance and de-risk. That said investment performance remained strong with over 80% of our top 30 strategies by revenue in the top two quartiles on a 3-year basis. We are also seeing good traction with our expanding suite of passive and active ETFs. We launched the BNY Mellon responsible Horizon’s corporate bond ETF managed by Incyte and total ETF AUM grew by 8% quarter-over-quarter. I also want to highlight an exciting new share class for the Dreyfus government Cash Management fund called BOLD. This share class, which provides investors the opportunity to make a direct social impact supporting Howard University and historically black college and university already, grew to over $1 billion in AUM within only weeks of launch at the end of February. We also continue to be pleased with the healthy growth that we are seeing in Wealth Management, client acquisition rates continue trending in the right direction, and our improved digital tools and expanded banking offerings are driving deeper client relationships as evidenced by the solid loan and deposit growth. As an example, during the quarter, we successfully completed the initial rollout of Loan Path, our new digital platform for investment credit lines, which allows us to streamline our processes and significantly improve the client experience at the same time. Across the franchise, we are honored to have once again been recognized by Fortune for making both its world’s most admired companies in 2022 as well as its Blockchain 50 list, which recognizes 50 companies around the world for deploying blockchain technology to speed up business processes, increase transparency and potentially save substantial costs for the industry. We are also proud to have been named to Barron’s 100 Most Sustainable Companies list, which recognizes companies that score highest across 230 environment, social and governance indicators. Now before I turn it over to Emily, I’d also like to touch on my decision to retire as CEO on August 31 and the appointment of Robin as my successor. When I joined BNY Mellon 36 years ago, I was drawn by the company’s rich history, its special culture and the important place it occupies in the global financial system. Over the last four decades, we have undergone an incredible transformation from the traditional commercial bank that we once were to the globally significant lower risk financial services company that we are today. And I am particularly proud of what we have accomplished over the last couple of years. With a new leadership team in place, we launched a compelling agenda for growth and innovation under which we have already seen a meaningful pickup in organic growth. We have also really involved our culture. Today, we are much more performance-oriented and client-centric, we are more nimble in our decision-making and we are doing a lot better at connecting the dots across our differentiated businesses. When our strategic ambitions and the strength of our franchise were tested by the global pandemic, our people once again rose to the occasion and not only delivered on our commitments to our clients, communities and shareholders, but we also continue to make significant progress in our journey to position the company for the future. In Robin, we have found an outstanding leader to build on this agenda and to lead BNY Mellon into its exciting next chapter. Having known Robin as a client for almost a decade, I was thrilled to recruit them to the company in 2020 and to work directly with him these last 2 years. Since then, he has not only had a profound impact on the company through his leadership of Pershing, Treasury Services, Clearance and Collateral Management and our Markets businesses, but he has been a trusted strategic adviser to me and the rest of the executive management team. Rob and I are working closely together and with our executive committee to ensure a seamless transition in the next couple of months. With that, I will turn it over to Emily.
Emily Portney: Thank you, Todd. And I will add my congratulations to you on your retirement and I want to thank you for your leadership and mentoring over the years. So, good morning, everyone. As I walk you through the details of results for the quarter, all comparisons will be on a year-over-year basis unless I specify otherwise. Starting on Page 3, total revenue was flat and included an approximately $90 million reduction related to Russia, a notable item this quarter. Fee revenue was down 3% or flat excluding the impact related to Russia. The benefit of higher market values as well as continued momentum across many of our businesses was offset by the impact of lost business in Pershing and Corporate Trust in the prior year, lower FX revenue of elevated levels in the first quarter of last year and the unfavorable impact of a stronger U.S. dollar. While not on the page, firm-wide AUCA of $45.5 trillion increased by 9%, of which 8% is growth from new and existing clients and 1% is driven by the impact of higher market values, net of currency headwinds. AUM of $2.3 trillion increased by 2% year-over-year, reflecting cumulative net inflows and higher market values, partially offset by the unfavorable impact of the stronger U.S. dollar. Money market fee waivers, net of distribution and servicing expense were $199 million in the quarter, an improvement of $44 million compared to the prior quarter. This reflects the benefit of higher average short-term interest rates partially offset by higher money market fund balances. Once again, our growth in money market fund balances meaningfully outpaced the industry. Together, the impact of lower waivers and higher balances drove a sequential increase in pre-tax income of close to $60 million. On a year-over-year basis, fee waivers had a de minimis impact to our fees revenue. Investment and other revenue was $70 million and net interest revenue increased by 7%, reflecting higher interest rates on interest-earning assets, change in mix and lower funding expense. Expenses were up about 5.5% or 6% excluding notable eye. Provision for credit losses was $2 million. The benefit from the continued improvement in the credit portfolio, led by commercial real estate was more than offset by a $15 million reserve build on interest-bearing deposits with banks in Russia. And our effective tax rate was approximately 17% as expected due to the annual vesting of stock-based awards in the first quarter, which provided a seasonal benefit. EPS was $0.86 and included an $0.08 negative impact of the notable items related to Russia. Pre-tax margin and ROTCE were 23% and 15% respectively on a reported basis and 25% and 17%, excluding notable items. On to capital and liquidity on Page 4, our consolidated Tier 1 leverage ratio, which continues to be our binding constraint, was 5.3%, down 15 basis points sequentially. The sharp rise in interest rates resulted in a $1.5 billion impact to unrealized losses in our available-for-sale securities portfolio and we distributed roughly 60% of our earnings to our shareholders predominantly through dividends. The impact of the reduction of capital on our Tier 1 leverage ratio was partially offset by the benefit of a smaller balance sheet quarter-over-quarter. Our CET1 ratio was 10.1%, down approximately 100 basis points compared to the end of the prior quarter, primarily reflecting the negative mark-to-market of the AFS portfolio as well as an approximately 30 basis point impact from the adoption of SACCR. Finally, our LCR was 109%, consistent with the prior quarter. Turning to our net interest revenue and balance sheet trends on Page 5, which I will talk about in sequential terms. Net interest revenue was $698 million, up 3% sequentially. This increase reflects higher rates as well as continued growth in loan balances partially offset by lower cash and securities balances. Average deposit balances declined by 3%, while average interest-earning assets were down 2% sequentially. Within this, loan balances were up nicely about 3% sequentially. Moving on to expenses on Page 6, expense for the quarter were $3 billion, up about 5.5% year-over-year and up 6% excluding notable items from last year. This increase primarily reflects investments net of efficiency savings and it also reflects higher revenue-related expenses, which were partially offset by the favorable impact of the stronger U.S. dollar. A few additional details regarding noteworthy quarter-over-quarter expense variances. Staff expense was up 4%, reflecting the annual vesting of long-term stock awards for retirement-eligible employees. Distribution and servicing expense is up 5%, reflecting higher distribution cost associated with money market funds and net occupancy expense was down 8% as we continue to optimize our real estate portfolio. Turning to Page 7 for a closer look at our business segments. Security Services reported total revenue of $1.8 billion flat compared to the prior year. Excluding the impact of the reduction related to Russia, revenue was up 4%. Fee revenue was down 5% and up 1% excluding the impact of Russia and net interest revenue was up 6%, reflecting higher interest rates, partially offset by lower deposit balances. As I discussed the lines of business within our Security Services and Market and Wealth Services segment, I will focus my comments on the investment services fee for each business, which you can find in our financial supplement. In Asset Servicing, investment services fees grew by 5%, primarily reflecting higher market values and net new business, partially offset by slightly lower transaction activity from existing clients. As Todd mentioned earlier, our sales momentum continues to be strong compared to the first quarter of last year. Our Issuer Services business was significantly impacted by the reduction related to Russia. Investment Services fees were down 43%. Specifically, we accelerated amortization of deferred costs for depository services of Russian companies, which is a contra revenue item. Excluding this impact, investment services fees were down approximately 9%, and this primarily reflects lower depositary receipt fees and the impact of lost business in the prior year in Corporate Trust. Next, Market and Wealth Services on Page 8. Market and Wealth Services reported total revenue of $1.2 billion, flat compared to the prior year. Fee revenue was also flat. And net interest revenue was up 2%, reflecting higher interest rates and higher loan balances, partially offset by lower deposit balances. In Pershing, investment services fees were down 6%. This reflects the impact of lost business in the prior year as well as lower transaction activity versus a very active first quarter of last year, partially offset by the impact of higher market value. Pershing continued to deliver solid underlying growth. Clearing accounts continued to grow at a 4% annualized growth rate, and we gathered net new assets of $18 billion in the quarter. In Treasury Services, Investment Services fees were up 4% as the business saw growth from both new and existing clients and continue to gain traction in higher-margin products such as digital payments. And in Clearance and Collateral management, investment services fees were up 8%, reflecting both higher tri-party collateral management balances as well as higher clearance volumes. Now turning to Investment and Wealth Management on Page 9, Investment and Wealth Management reported total revenue of $964 million, down 3%. Fee revenue was also down 3%. Investment in other revenue was a negative $8 million and included losses on seed capital. And net interest revenue was up 19%, reflecting higher interest rates as well as higher deposits and loan balances. As mentioned earlier, we ended the quarter with assets under management of $2.3 trillion, up 2% year-over-year. This increase primarily reflects the benefit of cumulative net inflows into both cash and long-term products as well as higher market values, partially offset by the unfavorable impact of the stronger U.S. dollar. As it relates to flows in the quarter, we saw $1 billion of net outflows from long-term products and $11 billion of net outflows from cash. Having said that, LDI continued to be a bright spot with $17 billion of net inflows. In Investment Management, revenue was down 6%. Higher market values were more than offset by lower capital results and lower equity income as well as the unfavorable impact of the stronger U.S. dollar, which is more impactful in investment management, given that approximately 50% of our revenue is earned in foreign currencies. Wealth Management revenue grew by 4%, primarily reflecting higher net interest revenue and higher market value. Client assets of $305 billion were up 4% year-over-year, reflecting higher markets and cumulative net inflows. And we continue to see healthy growth in both deposits and loans as we’ve expanded our banking offering and deepened our client relationships. Page 10 shows the results of the Other segment. I will close with an update on our outlook for the full year of 2022. Obviously, given the backdrop of geopolitical uncertainty, rapidly evolving global monetary policy and the continued overhang of the pandemic, the macroeconomic environment is very uncertain. For our outlook, we assume a scenario where interest rates follow the forward curve and market values stay relatively flat to where they were at the end of the first quarter. With this in mind, we project full year NIR to be up roughly 13% compared to 2021. Embedded in this assumption, we expect the correlation between rates and deposit runoff to be consistent with what we have seen in the past. We now expect fee revenue to be up 4% to 5%. This includes a tailwind of about 5% from the reduction of fee waivers, organic growth of 1% plus and a 1% to 2% headwind from the impact of Russia, market value, currency and other factors. For expenses, ex notable items, we now expect an increase of approximately 5%, slightly lower than our previous guidance. With regards to Capital Management, we’ve taken a number of actions to reposition our portfolio to reduce the impact of higher rates and credit spreads. For example, we lowered duration in the AFS portfolio, reduced credit exposure and moved assets to HTM. These actions have reduced our AOCI rate sensitivity by about 25% going forward. Having said that, we remain cautious on buybacks in the near-term. And based on the environment we described earlier, we ultimately expect to return at least 75% of earnings to shareholders this year. We do continue to expect to return close to 100% of earnings to our shareholders over time. Last but not least, we continue to expect our effective tax rate for the year to be approximately 19%. With that, operator, can you please open the line for questions.
Operator: Thank you.  We will now take our first question from Brennan Hawken from UBS. Please go ahead.
Brennan Hawken: Good morning. Thank you for taking my questions. First, Todd, congrats on your pending retirement and Robin, congrats on the new role. I look forward to working closer with you. Before a question though for Robin, I’d love to drill down a little bit MOI what you talked about. More tactically around the actions you’ve taken with the balance sheet to reduce the AOCI sensitivity. Could you maybe expand on that a bit and touch on some of the specific actions in greater detail and what impact we could expect on the outlook for NIR and how that might inform your updated expectation?
Emily Portney: So Brennan, good morning. I just taking a quick step back, I do want to do a shout-out to our CIO because I think that really did – do a great job in terms of both optimizing NIR but also protecting against AOCI volatility during the quarter. As I mentioned in my prepared remarks and I’ll give a bit more color, we shortened the duration of the AFS portion of the portfolio. It’s now a little over 1.5 years, down from more than 2 years at the end of last quarter. We’ve transferred longer-dated securities to HTM. You’ll notice that HTM now as a proportion of the securities portfolio is about 40%. That’s up from about 36% at the end of last year. We’ve also reduced convexity and credit risk in the portfolio. And so all of these things, I mean, we did – obviously, there was a reduction in AOCI of $1.5 billion during the quarter, but it would have been larger had we not taken these actions. And as you rightfully point out, these actions have also made us a lot less sensitive to rising rates going forward. And as I also, I think, mentioned, we’ve reduced – just to put a finer point on it. We’ve reduced DV01 in the AFS portfolio in excess of 25% just through the actions that we carried out this quarter. So as you can tell, we’ve been managing the portfolio very actively, we’ll continue to monitor it and be very nimble.
Brennan Hawken: Great. Thanks for that, Emily. Robin, maybe one for you. Stepping back and widening out here. Understand that you’ve just been named to the job. But you’re not new to Bank of New York, for sure. So at this point, can you provide any details or plans about your goals or targets? Or maybe at least like a road map for when we could expect to hear more from you about your goals and your plans?
Robin Vince: Sure. Good morning, Brennan, and I appreciate the comment and the question. So you’re right. I’m not completely new to the firm, which is certainly an advantage for me in coming in and taking on the role. But I will say that I’m being very diligent, as Todd referred to earlier on in his comments about the transition. And so we’re working very closely together. And I don’t want to be complacent about the fact that there’s a great opportunity for a CEO-Elect to have the opportunity to come in and to really benefit from a transition. Having said all of that, when I joined the firm, I was really struck by the breadth of the franchise. I mean, 93% of the world’s top investment managers or clients of ours are as are 97% of the world’s top 100 banks. And that breadth, coupled with the depth of the franchise, that real client trust that we’ve talked about before is a super powerful foundation. And so job number one for me is to really build on that. And that’s been an investment that Todd has been very focused on during his time as CEO. Now what I also would reflect on is some of the things that I’ve been focused on in the Market and Wealth Services businesses. And the first of those is innovation. You’ve seen that we’ve launched Pershing X. We’ve been very focused on real-time payments in the treasury services space. And that concept of really driving innovation across the enterprise is another important pillar of how I think about the firm and the opportunity that’s ahead of us. Another thing that we’ve been doing in that segment, which I’m very excited about across the company is really deepening the wallet, connecting the dots across the firm, helping clients that are existing clients of the firm to do more with us. And that whole ethos of on BNY Mellon, I think is a real important and deep vein for us to continue to mine. And then the last point that I have mentioned is operating leverage and focus on margins. In that segment, we had a 41% margin in the first quarter and having run operational businesses in the past. I’m very focused on operating leverage, and that will continue to be a focus of mine along with these other pillars. So that’s how I’m thinking about the world. But I’d just remind you that I’m still in the transition and enjoying working with Todd, and we’re really focused on making this a smooth and effective handover.
Brennan Hawken: Alright. Thanks for that color, Rob.
Todd Gibbons: Thanks, Brennan.
Robin Vince: Thanks, Brennan.
Todd Gibbons: Next question, operator.
Operator: We will now take our next question from Mike Mayo from Wells Fargo. Please go ahead.
Mike Mayo: Hi, well, I was going to ask you, Robin, I asked that at the shareholder meeting, but maybe just a little bit more about your background. I just say that when Northern changed their CEO, they said the old CEO is more about marketing and I’m more about numbers. When State Street changed, their CEO, they said, well, the new CEO was more about understanding asset management and their clients. Anything else – since we don’t know you as well as Todd, who’s been there for in his fourth decade, anything else about your background that you could share that could give investors confidence as you are about to enter the CEO role in several months.
Robin Vince: Sure, Mike. Well, I’m all about being a great all-around CEO. But to answer the sort of question a bit more directly in terms of my background, I feel like I’ve been prepared for this role over the course of my career. I started off in the markets business, and I ran the money markets business at my prior organization, which was a great opportunity to really get into the markets, capital markets, interest rates and really the client franchise. And of course, a lot of those same clients are clients of ours and so that was a great formative start for me. I ran operations at my prior firm. I was a treasurer. I was the Chief Risk Officer. I was the CEO of the International Bank. I operated internationally. And so when I put all of that together, I think it really gives me the opportunity having touched a lot of different aspects of our franchise and our activities to really bring all of that to bear in the role going forward. And I’m very excited about that. And as I joined the firm, I commented before, I’ve been struck by a few things, including the depth and breadth of the franchise, but also the culture of the firm. And I think that there’s a lot of opportunity for us, and I’m excited to have at it.
Mike Mayo: And so to summarize, you kind of want to have like one BNY Mellon and improve the wallet share. And hopefully, I’m not sure if you guys can give us now. I don’t think so, Todd. There is not too many firms that do it. But what’s your market share by large client, where was it a few years ago? And where do you hope it to be? Do you have any metrics around that or do you think we can get that in the future?
Todd Gibbons: Yes. We haven’t disclosed that publicly, but what I would say is we have grown with our clients, and we have continued to increase market share with our largest clients over the past couple of years especially in our servicing business – our Asset Servicing business. And I think some of the stats that we even did disclose this morning that Emily mentioned. We retained 90 – actually, I mentioned that. We retained 97% of all of the business that we re-bid on, which is an enormously high number. And we’ve got some capabilities, I mean, the investments that we’ve made in service quality. And some of that is in some of the technology that we’ve got around that, keeping us much closer to our clients, much better informed, much more responsive. The investments that we’ve made in our data management and data analytics, we have where I think we are the leader, not only in the servicing capabilities, but also the fact that we can – we’ve got the ability to bundle all of the back-office service is not just custody and accounting administration. But TA as well as a differentiator. So I think we are seeing increased market share. I haven’t disclosed it specifically against the major clients. But I think the fact that we are with just about every one of the major clients reflects that.
Mike Mayo: Alright. Thank you.
Robin Vince: Thanks Mike.
Operator: We will now take our next question from Ken Usdin from Jefferies. Please go ahead.
Ken Usdin: Thanks. Good morning, everyone. Emily, I wanted to ask you a little bit on net interest income and some of the changes that you’re referencing. So I guess to start, can you help us understand your point about historical reference of deposits versus QT or rates environment. We saw the positives come down this quarter. Can you tell us what you’re expecting to see out of the balance sheet going forward?
Emily Portney: Sure. So when it comes to deposits and runoff, what I’d first say is that we’re just using the forward curve. So assume that it’s just as baked into the forward curve, Fed funds is about 2.5% by the end of the year. Also, we’re just assuming that betas largely retraced what we’ve seen in the last cycle. It means that we will get to the end state faster, but they’re going to largely retrace it’s correlated to rates and largely are chased what we’ve already seen. So with all that said, we would expect deposit probably run off maybe about 10% over the course of this year. And that’s from where we are in the average of the first quarter. We’ve already seen them come down a bit from the fourth quarter. And just as a reminder, our deposit base is largely institutional NIBs. Part of the growth you’ve seen has been in NIBs and so we expect that to kind of normalize to over time. And the other thing I would mention is that as we see deposit runoff, we also could see a migration to money market funds. And if that does indeed happen, then obviously, that could be a nice tailwind for us as well.
Ken Usdin: Okay, got it. And then in terms of the shortening up of the duration, can you tell us how I don’t know if you can size the magnitude of how much that might have changed your current views of full year NII up 13% versus what it might have been otherwise? And how you’re now redirecting incremental cash flows into the portfolio versus what you might have done otherwise, if rates haven’t gone up this quickly?
Emily Portney: Yes. We are – we’ve obviously shortened duration across the portfolio. We’ve swapped fixed floating. And considering just the uncertain environment, we’re also continuing to be cautious and nimble.
Ken Usdin: Okay. And then you mentioned the more cautious on buybacks in the near-term and maybe returning 75% this year. How will you evaluate that? Obviously, we can do math on what it means for this year. But in terms of how much could the swings in AOCI continue to impact even being able to do 75%. Thanks, Emily.
Emily Portney: Sure. So as I mentioned in my prepared remarks, we still intend to return 100% of our earnings to our shareholders over time, and that’s, of course, across dividends and buybacks. We’ve been cautious, and I think it’s been appropriate to be somewhat defensive in this environment with the uncertainty and, of course, the reduction in AOCI. But given the assumptions in our forecast, we feel pretty confident that we would expect to return at least 75% of our earnings to our shareholders over this year. And the nice thing about SCB and the SCB framework is that we can be nimble, we can be flexible. And ultimately, depending upon the runoff we see we might be able to do more.
Operator: We will now take our next question from Steven Chubak from Wolfe Research. Please go ahead.
Steven Chubak: Hi, good morning. I wanted to ask a follow-up on the NII guidance. I appreciate the color Emily on the deposit balance trajectory based on what we experienced last cycle. I was hoping you could just speak to the deposit beta assumptions underpinning the guidance for the full year? And also how much of a helper was premium on this quarter? And how much of a benefit do you expect to realize over the course of the remainder of this year?
Emily Portney: So from a beta perspective, as I said before, we just expect betas to largely retrace what we’ve seen historically. It does mean you’ll get to the end state faster. In the first rate rise, it’s generally and what we’ve experienced is very much as we’ve been expecting in line with expectations, kind of betas of 35% to 40%. By the time we kind of get towards year-end and we have many more rate hikes, that will be probably closer to – betas would be closer to 70% plus, which is kind of where we ended in the last rate cycle. In terms of – what was your last – sorry, I missed the question.
Steven Chubak: Sorry. The premium 
Emily Portney: Yes. It was helpful this quarter. I don’t have it right off hand. But it was obviously – definitely helpful this quarter, but – and we just expect it with rates rising as we go forward, it will continue to be a bit helpful, but frankly, at a more modest level.
Steven Chubak: Understood. And maybe just switching over to the fee side, you spoke to fee revenue up 4% to 5%. I believe Emily, and I am sorry if I missed this, you alluded to organic growth of 1% plus being the underlying assumption. I know you had been running at 2% plus of late. And wanted to get a sense is that organic growth guide more reflection of conservatism, challenging macro or just what you are actually seeing in the backlog of new mandates?
Emily Portney: It’s definitely not so much on – at all on the mandate side. We still – fundamentally, our businesses are in really good health. The growth is really just considering the more challenging environment that we are in. And specifically, when you look at market levels or client activity across some businesses have slowed down, you are seeing or we are expecting a bit more risk-off behavior. And so the particular businesses, which are probably most – which are going to be most impacted, we think, are investment management, corporate trust, depository receipts to a lot lesser extent, asset servicing. And so that’s what’s all baked into the 1%-plus guide. But the fundamentals are very good and we feel pretty good about that considering the challenging environment.
Steven Chubak: I couldn’t agree more. And just one follow-up, tick-tack modeling question. Just on the asset servicing line. I believe in the slides you flagged a gain on strategic equity investment. I was hoping that you could size that for us.
Emily Portney: We don’t disclose that in – we only disclose that concrete item.
Todd Gibbons: I would just add to that, Emily. So, if you look at our investment and other income, it was about in line with the guidance that we had given. On the asset servicing, we do have some investments that we have said and some fintechs that we work very closely with strategically and they have performed pretty well. But as you might imagine, in this down cycle in the first quarter, we got hit pretty hard in our seed capital and some of our other things. So, net-net, they basically offset each other.
Steven Chubak: Got it. Okay. Thank you for taking my questions.
Operator: We will now take our next question from Alex Blostein from Goldman Sachs. Please go ahead.
Alex Blostein: Hi, good morning everybody. Thanks for taking the questions and congrats again to both Todd and Robin here. So, my first question is around the kind of connectivity between organic growth and operating leverage in the business. So, organic growth sounds like 1%-ish this year. Fees were flattish year-over-year. Expenses, up 5%, right? So, I understand that there is obviously investments that you guys are making in the business. But when you think about this on a 18 months to 24 months out, should we expect BK to get to a point where fee growth is more in line with expense growth. I think this kind of dovetails maybe some of Robin’s comments earlier around his focus on operating leverage.
Emily Portney: So, what I would say is, look, we are very focused on driving positive operating leverage. And I just would remind you that overall, for – if you look at total revenues, we will be – our plan is to deliver positive operating leverage this year. And frankly, that’s with the impact of the Russian notable items. So, I think that’s pretty good. In terms of fee – when we think about just fee revenue versus expenses, what I would say is that when you look at our – the guide that we gave for the rest of the year, it does – our expense guide does include slightly more inflationary pressures as well as the investments, of course, that we have talked about extensively that we think are very compelling and some will pay off sooner and some will pay off a bit over the course of the next couple of years. And as we talked about, it’s way too early to kind of talk about like what it’s going to look like in, say, 24 months, 36 months out. But we have said that, ultimately, over time, we would expect expense growth, the rate of growth to moderate.
Alex Blostein: Alright. We will stay tuned for that. My second question around maybe the Issuer Services business and really DR specifically. I think in the earlier release when you guys announced the Russia loss this quarter, there is a comment there around just a more subdued level of revenue growth. I think there is an ongoing effect from the Russia exit business as well. Can you just level set us what the DR business does in revenues now per year kind of net of these changes on a run rate basis? And then ultimately, how should we think about any other sort of geopolitical risk within that business? I don’t know to what extent China is part of that revenue stream? Thanks.
Robin Vince: Emily, do you want me to take it or you want it?
Emily Portney: Sure. Go ahead.
Robin Vince: So, I think there is a couple of questions there. So, Russia was – it was a material component of the total DR revenue. And the indication that we gave is there was a contra hit on kind of prepaid expenses there. So, that got reversed in the first quarter, and that was the most of the $88 million that we were talking about. And on a go-forward basis, we would expect probably something like $20 million – probably $15 million a quarter specifically from DRs. There are – I mean, China is an important market to us, too. So, we saw what we have seen, Alex, is a little bit of fewer transactions. Fewer new issuance in China a little bit down, and that’s reflected in those numbers. We don’t break out the entire DR revenue line. It’s a small – a modest percentage of the total Issuer Services. But it is impactful and it did, as you can see, it hit the bottom line in the first quarter.
Alex Blostein: Got it. Great. Thanks very much.
Operator: We will now take our next question from Glenn Schorr from Evercore. Please go ahead. Glenn, please ensure the mute function is switched off to allow your signal to reach our equipment.
Todd Gibbons: Glenn you are on mute, if you are still there. So, operator maybe we should go to another question…
Operator: We will now take our next question from Betsy Graseck from Morgan Stanley. Please go ahead.
Ryan Kenny: Hi. This is Ryan Kenny on behalf of Betsy. Good morning.
Todd Gibbons: Good morning Ryan.
Ryan Kenny: Just a question on the Pershing X initiative that was announced a few months ago. Wondering if you could dig in more on what specific areas you are looking to grow in and help us size the investment dollars, timing and the ROI of the investments here. And any expected impact on margins? Thanks.
Todd Gibbons: Sure, Ryan. So, look, it’s an investment that we are excited about. As we step back from our Pershing business, where as you know, we are a real market leader in that business. We touch about 15% of RIA accounts in the U.S. We touch a little over 30% of all RIAs with $1 billion or more in AUM. One of the things that we have heard from our clients is that the world is getting increasingly complex for them as they think about how to really pull all of the capabilities that they need to run their businesses together. And as we have really listened to our customers on that point, we decided that there was a great opportunity for us to help solve some of those problems. And so collecting the various different capabilities focusing on the data and the smooth movement of data across those various capabilities we saw that as an opportunity to really deliver something new and incremental to our customer base. And we have tried to speed our way, along that we hired, as you know, Ainslie Simmonds to run that for us. She has recently completed the rounding out of her top leadership team. We tried to speed our way to market with the acquisition of a direct indexing capability in the fourth quarter, Optimal Asset Management. That was an example of a bolt-on capability that we think can just help us to accelerate. But as we have disclosed before, we are not expecting this to drop much to the bottom line over the course of the next couple of years. This is an investment in positioning Pershing and the aggregate wealth management platform services platform for the future. And so this is an investment in the medium to long-term, we think it’s important our customers very much want it, and we are excited for it.
Ryan Kenny: Thanks.
Operator: We will now take our next question from Brian Bedell from Deutsche Bank. Please go ahead.
Brian Bedell: Hello. Hi, can you hear me?
Todd Gibbons: Hi Brian.
Brian Bedell: Great. Well, first of all, congrats again, Todd and Robin. And Robin looking forward to working with you. The first question is just on the short-term second quarter outlook. I know Emily, you gave the outlook for the full year. Maybe just to focus a little bit on the pace coming into the second quarter on the recruitment of fee waivers, and any commentary on the sort of near-term trajectory of NIR for the second quarter?
Emily Portney: Yes. We really decided a few more of a full year guide for the second quarter. But I mean to size what you are thinking about, I think specifically on waivers, we do see the Fed raise rates by 50 basis in May as I think we are all kind of expecting. Obviously, that will be a nice uptick in terms of recouping waivers and it’s to the tune of, call it, like $100 million or so is what I – is how I would estimate it.
Brian Bedell: Okay. And then to focus a little bit longer term on the organic revenue growth outlook, the 1% plus. Just I guess if we do get a better – let’s say, if we get a risk on backdrop in the second half as opposed to the current sort of view of a challenging market backdrop, how might that influence that organic revenue growth outlook? Is that enough to put you back in that 2% area, or do you really – there is a lot of things you are working on to really build that organically. And if you could just remind us the sensitivity of fee revenue to equity markets, global equity markets improvement? And then just lastly, whether you would be considering any type of major acquisitions to accelerate revenue growth, or really, it’s just going to be a focus on organic?
Emily Portney: So, I will take a couple of parts to that, and Todd or Robin might want to chime in about the inorganic opportunities. But in terms of organic growth, I mean just remember, when we define organic growth, we are normalizing for market appreciation or depreciation, but it is fair that risk-on or risk-off behavior associated with that could also impact organic growth. And so what I would say is, it’s hard, we don’t really say like what’s the sensitivity. But yes, there certainly could be more upside if you see more risk on behavior and ultimately, that means more trading, more transaction volume, etcetera. So, that is upside. So, it’s certainly not out of the realm of possibility that it could be higher. In terms of – what was your second…
Brian Bedell: The equity – the fee revenue sensitivity to – so like every 10% increase in equity margin.
Emily Portney: Sure. Yes. We have disclosed this. I think you can find in the K. So basically, any like a 5% move in equity markets is kind of happening gradually throughout the year is about an additional $75 million in revenue.
Brian Bedell: Yes. Great. And then…
Emily Portney: Todd, do you want me to take inorganic or you want to?
Todd Gibbons: Yes, why don’t you go ahead and take it. Before you do Emily, I will just add. So Brian, just that 5% was – that was not an average at $75 million. That means if it goes up on average over the course of the year, at above $75 million…
Brian Bedell: Yes. That makes sense. Thank you.
Todd Gibbons: Okay, you want to follow-up on organic, Emily?
Emily Portney: Sure. I mean on inorganic, what I would say and Todd and I have been very consistent on this, is that we are – of course, we always are evaluating inorganic opportunities. But at the same time, the bar is really, really high. And it’s not high just from a return perspective, it’s also very high from an execution risk perspective. So, we have been doing several deals, but they have been mostly kind of digestible bolt-on things that are adding capabilities or markets or clients. And we will continue to look out for those.
Brian Bedell: Okay. Thank you very much.
Operator: We will now take our next question from Michael Brown from KBW. Please go ahead.
Michael Brown: Hi, good morning.
Todd Gibbons: Good morning Mike.
Michael Brown: Good morning. I just wanted to ask about – start with the average loans were up 3% sequentially and 18% year-over-year. So, I just wanted to ask a little bit about where you are seeing the strongest demand? And what are your expectations moving forward and the ability to meet that demand given the expected trajectory of the deposit balances from here?
Emily Portney: So actually, we have been – we are very proactively growing the loan portfolio. So yes, as you mentioned, it’s up 3% on average and 18% year-on-year. We will continue – it’s our expectation to continue to grow that over the course of this year. And where we are seeing it is really on a couple of different areas. So, capital call facilities, certainly, trade finance, likewise, margin loans, CCLs and mortgages and well, so let pretty much across the board. And that’s – we want to be there and leverage our balance sheet for our clients when it make sense.
Michael Brown: Okay. Thank you very much. And then just thinking about the capital ratios today and your comment on returning 75% of net income, any thoughts on the trajectory in terms of the quarterly pace, just given that the leverage is at 5.3% or ended the quarter at 5.3%. It seems like the buybacks may need to be a bit more back half weighted as the capital ratios kind of accrete higher from here? Is that a fair expectation?
Emily Portney: I am not going to really comment on kind of how it’s going to be paced throughout the year. I think you can kind of look at all of our ratios and make your own assumptions. But – and the thing I would just remind everyone again is that the SCB framework is really allows us to be very nimble and very flexible.
Michael Brown: Okay. Great. Thank you for taking my questions.
Todd Gibbons: Thanks Mike.
Operator: We will now take our final question from Gerard Cassidy from RBC. Please go ahead.
Gerard Cassidy: Thank you. Good morning everyone. Emily, can you share with us – and if it’s not available, maybe you could answer it in a different way. But in your quarterly and 10-Ks, you and your peers always give us a 100 basis point parallel shift and the curve leads to an x percent increase or decrease in interest revenue. How does that – how do you stand today at the end of the first quarter versus the end of the fourth quarter? Do you have that number? And if you don’t – will it be lower by 30% or 40% compared to the fourth quarter?
Emily Portney: It’s – we don’t – we will obviously be updating that when we release the Q. What I would say is we are much more sensitive, of course, to short-term rates and long-term rates. That continues, of course, to be the case. And you will see more of that when we actually release the Q.
Gerard Cassidy: Okay. Very good. And then following up on the Tier 1 leverage ratio, I think last quarter, you mentioned that you guys trying to manage to 5.5%. Obviously, you are slightly below that today. Where do you think – how low can it go from where we are today, or just your views on how you are managing that number?
Emily Portney: So, in terms of Tier 1 leverage, we have always said that given the extraordinary circumstances we are in and all of the excess liquidity in the system that we would be – it makes perfect sense to dip into our buffer to a degree, which is what we have done. We would expect, of course as we start to see some probably deposit runoffs that will take a lot of pressure off Tier 1 leverage. And what I would also just flag is that by the end of the year, it’s not – it’s likely – actually not out of the normal possibility, but frankly, probably likely that our binding constraint will become CET1 versus Tier 1 leverage. And frankly, I think if you are toggling between Tier 1 and turn leverage in CET1, that actually is very good. It means you are managing your balance sheet optimally.
Gerard Cassidy: Great. And then just quickly, on the HTM, I think you said you lifted your HTM portfolio of 40% of total securities. Is there a limit on how high you would take that, too?
Emily Portney: There isn’t a limit per se, but we obviously do that very with our partners in risk, and we are always making sure that whatever we move there is high-quality liquid assets that generally speaking, you can repo it. Repo those assets, etcetera. So, I wouldn’t expect it to increase a lot more from here.
Gerard Cassidy: Okay. Thank you.
Todd Gibbons: Gerard, it’s Todd. I will follow-up. I just want to add to – I mean, Emily made, I think all the right points around the capital ratios and the Tier 1 leverage. But remember, we are probably too precise when we give you a number of something like 550. If you remember, that’s a 150 basis point bunker to what the requirement is. And the reason it’s there is because we recognize that you could have a spike in the balance sheet and for us, it’s not a risk spike. It’s because deposits have increased, and we have certainly seen that through the quantitative easing over the past couple of years or you could have a sell-off and some impact in the OCI. That’s exactly why the buffer is there. So, eating into the buffer in this type of situation is exactly what we would expect. And it’s not really particularly constraining to us. as we still have that 130 basis points to Emily’s point and in our modeling, if things run the way we would expect them off of the forward curve those deposits are going to come down 10% or so, and that’s going to free up quite a bit of Tier 1 leverage. And basically – and we are estimating that we are going to get pretty close to common equity in Tier 1, which is a great place to be. And it also means common equity is a little easier to manage because that’s a risk-based asset ratio where we can manage. It’s not just what comes on to the balance sheet. So, I want to make that clear. Probably in the future, we should give you guidelines that are more ranges, and we can kind of calculate where we are in that range.
Gerard Cassidy: Very good, Todd. And great run time with Bank of New York, and good luck with you next endeavor. Thank you.
Todd Gibbons: Appreciate it, Gerard. Thank you. So, it is top of the hour. Operator, do we have any other questions?
Operator: There are no further questions in the queue, sir.
Todd Gibbons: Okay. Thanks everybody. Thank you for joining us today. Look forward to following up. I guess you can call Marius if you have any follow-up questions. Be well.
Operator: Thank you. This does conclude today’s conference and webcast. A replay of this conference call and webcast will be available on the BNY Mellon Investor Relations website at 2:00 p.m. Eastern Standard Time today. Have a great day. Thank you.